Operator: Good morning, everyone, and welcome to the Inspired Entertainment Second Quarter 2025 Conference Call. [Operator Instructions] Please note, today's event is being recorded. Please refer to the company's safe harbor statement that appears in the second quarter 2025 earnings press release, which is also available in the Investors section of the company's website at www.inseinc.com. This safe harbor statement also applies to today's conference call as the company's management will be making certain statements that will be considered forward-looking under securities laws and rules of the SEC. These statements are based on management's current expectations or beliefs and are subject to risks, uncertainties and changes in circumstances. In addition, please note that the company will discuss both GAAP and non-GAAP financial measures. A reconciliation is included in the earnings press release. With that completed, I would now like to turn the conference call over to Lorne Weil, the company's Executive Chairman. Mr. Weil, please go ahead.
A. Lorne Weil: Thank you, operator. Good morning, and thanks, everyone, for joining our second quarter earnings call. With me today, as usual, are CEO, Brooks Pierce; CFO, James Richardson; and VP of Corporate Development, Eric Carrera. Also today, as you may have seen in our press release, we issued, I guess, last night, Investor Relations specialist, Aimee Remey, rejoins us following the 2-year IR assignment with one of the world's leading B2C gaming enterprises. And needless to say, we're thrilled to have Aimee back. We were quite pleased with the quarter in terms of headline numbers. EBITDA of $28.4 million was up 15% over Q2 2024 and well ahead of consensus. EBITDA margins improved from 33% to 35% in the same period. Our primary growth driver was once again the interactive business, which grew EBITDA by nearly 50% in the second quarter year-over-year. Interestingly, only about half -- excuse me, interestingly, about half the growth in EBITDA was contributed by North America, which represented less than 1/3 of interactive EBITDA a year ago. We believe that superior game content and intense focus on the account management were the underlying drivers of the North American performance. At the present time, less than 10% of the population of the United States is in jurisdictions that offer iGaming compared to sports betting, which covers at least 70% of the population. And in those major states that offer both sports betting and iGaming, particularly Pennsylvania, New Jersey and Michigan, iGaming is 4 to 5x larger than sports betting. So despite the remarkable growth that we've been experiencing recently, our feeling is that the Interactive business is still in its infancy. In other part of our digital business, Virtual Sports, there are similarly interesting dynamics at play. While second quarter Virtual Sports EBITDA declined year-to-year, the quarter-to-quarter sequential curve had been steadily flattening. And indeed, in the second quarter, we experienced both revenue and EBITDA increases from the first quarter to the second. In a moment, Brooks will discuss in some detail the range of product and market developmental opportunities taking place in Virtual Sports, but we're cautiously optimistic that the sequential upswing we saw in the second quarter will continue and that by the end of this year, we will once again be seeing quarterly year-over-year growth. This, of course, has a dramatic impact mathematically on our overall company growth rate. Our gaming business had a very strong quarter, both operationally and developmentally. Gaming EBITDA was up 35% year-to-year, driven importantly by William Hill, whose team has done an extraordinary job managing the new machine estate. Perhaps in part aided by the William Hill performance, we were recently awarded a contract to supply 100% of the gaming machines for Jenningsbet, the best performing and largest independent bookmaker chain in the U.K., independent meaning not owned by Flutter, William Hill, Betfred or Entain. This was a very busy and very productive quarter for Inspired in other respects. During the quarter, as mentioned in the press release, we refinanced our credit facility prior to the date in June when the facility would otherwise have gone current. And despite the very choppy credit environment at that time, we were pretty happy with the result. Following the refinancing, we are in the final stages of arranging a swap of the floating rate Sterling facility into fixed rate debt, thereby both lowering our current effective rate and simultaneously capping it as insurance against rates going back up. At the same time, we still have 2 step-down opportunities to lower our spread over the Sterling benchmark as we deleverage with the first anticipated in connection with the expected completion of the Holiday Park sale subject to the customary grace period. In connection with the Holiday Park sale, I can say that we have now reached an agreement in principle with a strategic buyer we have been working with for several months, and we expect to sign the definitive agreement this month and close by the end of October. The combination of cash at closing and ongoing platform and content fees will put us well within our liquidity target, and our cash position will benefit further from having owned the business through the peak cash trading generating period that we're in at the present time. The sale of the business will have a number of important benefits. Our overall company EBITDA margin will approach our target of 40%. Company-wide cash conversion percent will improve significantly, and our mix of business will swing further towards digital with concomitant benefits relating to margins, capital intensity and growth. And with that, I'll hand it over to Brooks.
Brooks Harrison Pierce: Okay. Thank you, Lorne. And I'll give a little bit more detail on our strong results in the quarter by segment and which we believe is building momentum as we move into the second half of the year. A big part of that confidence is based on the results in the second quarter for our Interactive segment and what we're already seeing thus far in Q3. To put it in context, we had the single best day in our history in this segment last week, and it's broad-based across our key markets in the U.K., North America and Greece. But we're also starting to see growth in other key markets like Brazil as we get launched with additional operators and start delivering bespoke content to that market, alongside a very strong road map of gains for the second half of the year. Q2 saw our eighth consecutive quarter of more than 40% year-over-year adjusted EBITDA growth. and a further expansion of our adjusted EBITDA margin by 200 basis points to 67%, which we believe clearly demonstrates the scalability and operating leverage from this part of the business. We're seeing the benefits of the investments we've made in studio expansions as well as a deeper base of account management talent delivering on this investment, but we feel we have considerable room for further growth as our wallet share in our key markets is still in the single digits, but growing quarter-by-quarter. The other part of the Interactive segment that we remain bullish on is the hybrid dealer category. Like the Interactive segment, the key to success in this part of the business is getting your product out across a wide swath of both operators and aggregators across multiple geographies with differentiated content that resonates with players. Using those metrics as benchmark, we're happy with the progress we are seeing in Hybrid Dealer, but still feel it's very early in its development. We're now deployed with multiple versions of our Roulette game and our game show themed wheel games and are starting to see the possibilities as we expand our product offerings across our key markets. A good example of that will be the game -- we'll be introducing with FanDuel in September that we're very excited about and think will appeal to a good cross-section of both casino players as well as sports betters. We won't give any more details about that, but we'll look forward to reporting on its progress in our third quarter call. Virtual Sports segment, as we've talked about frequently, has stabilized and even showed modest growth in the second quarter. The segment of the business has strong EBITDA margins, 72% in the second quarter and strong cash contribution due to the nature and maturity of the business, but we'll also be introducing some product innovations in the third and fourth quarter that we believe will resonate with players in key markets like Brazil, Greece and the U.K. Our bespoke soccer game for the Brazil market is resonating with our 2 biggest customers in that market, and we are in the midst of rolling our Virtual Sports content out to other key operators in that market, including BetMGM and EstrelaBet. And again, we'll update in our third quarter call as we'll be adding several additional operators yet this quarter. We launched our Virtual Sports content in the lottery vertical with the Virginia lottery. And although it's early, we're seeing the business build up as lottery players are introduced to it. Our horse racing game, in particular, is currently seeing the most activity, but we're confident that as we move into the football and basketball seasons, those sports will only grow. We think the lottery segment is a key and underappreciated vertical for us, and we'll be reporting on our progress in that segment further throughout the year. We continue to believe that we'll see demonstrable improvements in this segment in the second half versus the first half as we are live in more markets and introduce our latest innovations. Gaming segment had a strong second quarter with adjusted EBITDA increasing 35% year-over-year due in large part to the improvement in the results with William Hills, we've talked about for months now, and we see these coming through. We're also starting to see the early benefits of our new cabinets being deployed in Greece, and that will only accelerate and continue in the second half and into 2026. The quarter also benefited from a sale to the Alberta Gaming and Lottery Group, a key customer as we expand our VLT offerings across multiple provinces in Canada as well as our footprint and subscription sales growing in our key market in Illinois and as we've introduced the Valiant cabinet to that market. We were also very pleased to be awarded a new contract with Jenningsbet, the largest independent bookmaker in the U.K., and we'll start to see the benefit of that by the end of the year, but mostly as we move into 2026. We're confident that our VLT cabinets and content are working across multiple geographies and that our server-based offering appeals to operators in markets where customers frequent venues multiple times a week and need the appeal of refreshing content on a regular basis and we believe there are many more markets for us to target to leverage the success we're seeing in the U.K., Greece and North America. The Leisure segment performed as expected and is in the process of a structural transformation as we complete the anticipated sale of the holiday parks part of the leisure segment and also move our pubs business to a more capital-light and less labor-intensive model. We believe that this aligns with what we've accomplished in the Gaming segment and will offer us the opportunity to deploy our capital in the higher growth and higher-margin digital segments of our business while still capitalizing on our key strengths of development and deployment of content as well as innovative new cabinets. Lastly, we're seeing the benefits of some of our cost improvements and efficiencies coming through with our EBITDA margin increasing by 200 basis points for the overall business year-over-year, but are confident that once we complete the leisure segment initiatives mentioned previously that we'll be comfortably ahead of our target EBITDA margins of 40%. Special thanks to our team for all their hard work, and we feel positively that the results are reflecting that. And with that, I'll hand it back over to Lorne.
A. Lorne Weil: Thanks, Brooks. That was a great report. I don't have anything further to say. So operator, you can open the program up to Q&A, please.
Operator: [Operator Instructions] Your first question comes from the line of Barry Jonas with Truist Securities.
Patrick Charles Keough: Welcome back, Aimee. This is Patrick Keough on for Barry this morning. I was hoping you could talk a little bit more about the momentum you're seeing in Hybrid Dealer. In your release, you stated you're gaining traction with regional operators who had traditionally lacked access. Could you give a little more color here and talk about the potential upside for the product and where it could be?
Brooks Harrison Pierce: Sure. Yes. It's interesting. What we're seeing is we have a very good mix of customers. We have the large Tier 1 customers, but we also have a number of what we would call kind of Tier 2 customers, many of which are through aggregators, Relax being the principal one, but we've just finished an integration with Games Global, and we'll start rolling out to their customers as well. So interestingly, some of the things that we had anticipated, the roulette game in particular, and the wheel games are doing very well. I would say the 4-ball roulette game is not doing as well as we had expected, which kind of lends itself to what I had talked about in terms of product innovation. So for those of you that are out of G2E, I think it will be important for you to come by our booth and take a look at some of the stuff that we're showing, we think will accentuate some of the key brands that we've had in the interactive business successfully. So good news is the number of players, the volume, the customers, geographies are all kind of increasing on pretty much a week-by-week basis, and we'll start reporting those numbers in a little bit more detail going forward. But we're very happy with how it's progressing so far.
Patrick Charles Keough: That's great. And as my follow-up, you had pointed out that Virtual Sports saw a sequential improvement in EBITDA. It's good to see a return to growth there. Last quarter, you had stated that Q3 could potentially be -- potentially see a year-over-year increase in EBITDA and be an inflection point for the business. Is that still the case?
Brooks Harrison Pierce: I would say maybe Q3, but probably more likely Q4. There's a number of variables. We're getting some products out that -- we probably are getting out a little bit later in the quarter than we would have hoped. So it might not be exactly Q3, might be Q4. But yes, that's certainly the target that we're having is seeing good growth from the existing customers, adding more customers, as I talked about, particularly in Brazil, which is a very robust market and then introducing some new products, again, another thing to come see G2E that nobody has seen yet, and our customers are pretty excited for it. So hopefully, Q3, but probably more likely Q4.
Operator: The next question comes from the line of Ryan Sigdahl with Craig-Hallum.
Will Yager: This is Will Yager on for Ryan Sigdahl. First wanted to touch on your gaming segment. You've seen really good momentum kind of with William Hill as you were talking about. You just added Jenningsbet as well. Curious what you're hearing from other customers in terms of the Vantage cabinets and if this is maybe just the start of kind of a greater expansion there?
Brooks Harrison Pierce: Well, I mean, obviously, we're getting very positive feedback from the results from the Vantage cabinet that we've been talking about for a while now with all our customers. I know evoke specifically mentioned in their call, William Hill, specifically mentioned in their call the improvement in their retail business, and they attributed that mostly to the Vantage cabinet. Jenningsbet is a big win for us. It's a customer that was with one of our competitors for about 20 years. So the fact that they've made the decision to do business with us after that length of time, I think, bodes very well for the cabinet. In the U.K. LBO business, there's really kind of 2 of us that split the market. So I don't see a huge opportunity because of the length of the contracts for growth other than the ones that we've picked up. But the Vantage cabinet is out in multiple other markets, both on a recurring basis and on a for-sale basis. It's the cabinet that we're rolling out in Greece or one of the cabinets we're rolling out in Greece. So yes, the summary is we're very happy with the Vantage and how it's doing in pretty much every market we put it in.
Will Yager: Great. And then a follow-up quickly on Brazil. It's a bit of a tough start at the beginning of the year. What do you think the factors for that? How those changed going into Q3? You're live with both of the market leaders, continue to add a lot of partners for Virtual Sports. Are there just certain games that people are maybe engaging with more? Or how is it developing there?
Brooks Harrison Pierce: Yes. I mean I think it's -- the story in Brazil in Virtual Sports, but frankly, in iGaming as well is the beginning of the year was very choppy with moving from a nonregulated to a regulated market. But now that we're seeing customers and they see our product on a regular basis. And as we add both customers that we go direct and also through aggregators, we're just starting to see both in the Virtual Sports side, but also on the iGaming side starting to get some traction. In particular, we've made a game of virtual soccer game that is really kind of more Brazil feeling fireworks in the stands and all kinds of crazy fan stuff that seems to be resonating with the players and obviously, in the native language, Portuguese as well. So -- and we've -- as I mentioned, we've got a couple of innovations that we're going to be bringing to the market here in the third and fourth quarter that we think will actually drive that even further. So Brazil is obviously a very key market for us in Virtual Sports, but kind of a key market overall.
Operator: [Operator Instructions] The next question comes from Josh Nichols with B. Riley Securities.
Unidentified Analyst: This is [ Matthew ] on for Josh Nichols. I guess just going back to the gaming side. Gaming EBITDA up impressively. You mentioned William Hill and some Greece ramping. What do you think drives the next leg of growth maybe, I guess, to push that more in 2026?
Brooks Harrison Pierce: Yes. I mean I think there's -- well, as I mentioned in my remarks, so I think it's really a combination of a couple of things. One is some of the existing customers that we have. The Canadian provinces are a great opportunity for us to add sales. I mean, obviously, the second quarter was benefited by a onetime sale to Alberta. But between all the other Canadian provinces we do business with, we think that, that's a good opportunity. In Illinois, we've been very successful selling subscriptions to our customers because they want to continue to refresh their content. But Illinois is approaching now a 40,000 machine market, and the replacement cycle is really just in its early days. So that's a market for sure that we'll be going after. And then as I mentioned in my remarks, we think what we're good at is where we can download content and refresh content and where people are going -- server-based gaming, where people are going to a venue multiple times a week. So there's many markets outside of the key markets that we've already talked about that we think will have a good opportunity. And I'm sure you probably read in the press, there's lots of discussion about Brazil as potentially a huge machine market. If that were to come to fruition, we think our product would be a perfect fit for the Brazil market. So yes, I mean, we think we're kind of hitting on both cylinders and that the existing business is showing good growth and good opportunity out of our existing customers, but we feel very confident that there's additional markets that we can go after that our product will fit very nicely in.
Unidentified Analyst: Very helpful. And I guess kind of similar on the Hybrid Dealer front, I mean you mentioned multiple geographies and it seems like there's such a large TAM. I'm just wondering which new international markets do you think look promising for the next year or so?
Brooks Harrison Pierce: Well, it's so early in the process. I mean, I think pretty much every market is new. I mean, I would say the existing markets where we are, North America, U.K., Greece, but we're still in the very early stages of getting the product out to those markets, Brazil. But I don't see any gaming market where Hybrid Dealer is not an offering that makes sense. Now I mentioned the game that we're doing with FanDuel. And that's a very bespoke game that we're building for them that we've been working on that for probably close to a year. So we're pretty excited about seeing that out in September. But I think just the general rolling out of the product across more and more markets, very similar to the iGaming business. I mean it's what we saw in iGaming. If you look way back a number of years ago, it took the combination of getting the kind of network wired with all the customers and then making sure you have content that resonates with the players. And to me, I think the parallels between the iGaming segment and the Hybrid Dealer are very stark. And so we're just in the early stages. You're seeing the benefit of how that's working for us in iGaming. And obviously, I don't know if it will reach the size and scale of the iGaming segment, but it certainly has all the characteristics and attributes that we look for very similar to iGaming.
Unidentified Analyst: Got it. And last one for me. I mean just on the sort of capital deployment side. I mean, you had a strong quarter of free cash flow generation. You're expecting to close that holiday park sale soon and with the new debt facility also, I just -- I'm wondering like what in terms of priorities, where does -- where are you ranking things in terms of maybe just focusing on accelerating Hybrid Dealer Roulette or anything else?
A. Lorne Weil: I'm not sure I understand exactly what the question is. Can you please ask it again?
Unidentified Analyst: Yes. So in terms of focusing on and investing in growth for a certain segment, where do you think -- where are you ranking your priorities? Is it mainly something Hybrid Dealer Roulette...
A. Lorne Weil: Yes. Well, the interesting thing about all the digital business, Hybrid Dealer, but iGaming in particular, and Virtual Sports is that the capital intensity is so low that our growth in those areas is really not constrained by capital at all. We can grow almost as fast as we want. The constraints are like Brooks was talking about right now, we're in the process of doing integrations with Hybrid Dealer with some of the new customers. So we're not too concerned about that. I think what I thought your question was, was more about what people today are calling capital allocation in terms of what our priorities were with the free cash flow that we're really beginning to see coming. And if that was sort of the question, then obviously, our first priority is always going to be funding the growth of the businesses. But again, as we swing to more and more digital, the capital required to do that becomes less and less. So I'd say in the short run, after that, our first priority would be debt reduction because in the deal that we did a couple of months ago to refinance our debt, we have significant benefits by deleveraging. So we want to get that done first. And then everybody always wants to know about share repurchases. We still have a program in place. And I would say after the priority of funding our business growth and then the priority of deleveraging that we would certainly consider share repurchase.
Operator: The next question comes from the line of Chad Beynon with Macquarie.
Chad C. Beynon: Brooks, I wanted to start with virtual and the positive inflection that you talked about in the fourth quarter. Do you think as we look past this maybe more into '26, this could return to a growth market, maybe not as high growth as we saw in the past couple of years, but is this something that we should start to think about again growing maybe at the same as some of the global digital rates?
Brooks Harrison Pierce: Yes. Thanks, Chad. Yes, I mean I think the drivers of that are going to be how we roll out in some of the markets like we've talked about in Brazil, but really North America as well. It's kind of one of the bane of my existence that we haven't gotten as much traction in the North American market as I think we should have, and I think we will. It's just taken longer than I expect or expected. But yes, I mean, I think if we get rolled out to -- we kind of have half the market right now in Brazil. And as we roll out to the other half, the second half is anywhere as good as the first half, that's going to be a very, very meaningful contribution to the business. As I mentioned, we've seen some success -- early success with the Virginia lottery, and we're bullish about a couple more opportunities we're looking at in the lottery vertical that we think will also add. But we also need to get some better penetration in the North American market with BetMGM should be the first customer that will go out in the market first, but we see it as a reasonable market for some of the other operators to add. So yes, long-winded answer is, yes, I'm hoping that we're building momentum each of the next couple of quarters and that '26 will get us back on a real growth trajectory, not just stabilized and beating slightly.
Chad C. Beynon: Great. And then on the hardware side, now that some of these competitive privatizations have closed, have you seen anything in terms of just the competition out there positively or negatively? Are there more deals that are being done on the hardware side or some of these private companies potentially pulling back a little bit and kind of focusing on something different? I know it's very early, but wondering if you're seeing anything at this point.
Brooks Harrison Pierce: Yes. I think your -- the last part of your statement is right. I think it's very early. I mean, I think the -- well, IGT would be probably the one that we would compete with the most because of their strength in the Canadian provinces. But obviously, Illinois is a pretty competitive market. And we actually just went through a whole big review on the Illinois business, and we're indexing higher than we've ever indexed in Illinois. So I feel very good about our chances in the replacement market, recognizing that our competition is pretty steep, but they're going through some transitions. So we would -- we're going aggressively after every one of those markets. But we're just not in the same -- we're not in the Class III market or the Class II market where you would see some of those companies you mentioned as that's their primary markets, and it's really not ours. So we don't go head-to-head with them other than Illinois and the Canadian provinces. But to answer your question, I haven't seen any substantive changes at this point.
Operator: There are no further questions from the line at this time. I will now turn the call back over to Mr. Lorne Weil for any closing remarks.
A. Lorne Weil: Thanks, operator. I don't really have too much to add to what we've talked about so far. I think it's a very good quarter. I think we're feeling pretty positive about the rest of the year that we'll continue to see these trends moving in that same direction. And so we look forward to talking to everybody in a few months. Thanks.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.